Operator: Good day ladies and gentlemen and welcome to the Employers Holdings, Incorporated third quarter 2008 earnings conference call. My name is [Michelle] and I will be your coordinator for today. (Operator Instructions) I would now like to turn the presentation over to your host for today’s conference, Miss Vicki Erickson, Vice President of Investor Relations.
Vicki Erickson: Thank you Michelle and welcome everyone to the third quarter 2008 earnings call for Employers Holdings, Inc. Yesterday we announced our third quarter 2008 earnings results and today we will file our Form 10-Q with the Securities and Exchange Commission. These materials may be accessed on the company’s website at Employers.com and are accessible through the Investors link. Today’s call is being recorded and webcast from the Investor Relations section of our website where a replay will be available following the call. Representing the company on the call today are Doug Dirks, our Chief Executive Officer; Rick Yocke, our Chief Financial Officer and Marty Welch, the President and Chief Operating Officer of our Insurance subsidiaries. Before I turn the call over to Doug, I would like to remind everyone that statements made during this conference call that are not based on historical fact are considered forward-looking statements. These statements are made in reliance on the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Although we believe the expectations expressed in our forward-looking statements are reasonable, risks and uncertainties could cause actual results to be materially different from our expectations, including the risks set forth in our filings with the Securities and Exchange Commission. All remarks made during this call are current at the time of the call and will not be updated to reflect subsequent material developments. I’d again like to remind you that we use the non-GAAP metrics that excludes the impact of the 1999 Loss Portfolio Transfer or LPT. This metric is defined in our earnings press release available on our website. Now I will turn the call over to Doug.
Douglas D. Dirks: Thank you Vicki. Hello everyone and thank you for joining us today. We are very pleased to report that our acquisition of AmCOMP Incorporated announced in January was completed last week. The close of the transaction was five months later than originally planned due to issues between AmCOMP and the Florida Office of Insurance Regulation that has since been resolved and resulted in a reduction in the purchase price. Despite epic dislocations in the credit, capital and insurance markets since the deal was originally announced, we continue to believe that this is a compelling transaction because of its excellent strategic fit; acceleration of our growth and expansion strategy; complimentary geographic fit; increase in scale; and meaningful synergy opportunities. We are implementing our integration plan and are aggressively working to insure the efficient integration of systems, operations and financial reporting. Due to the timing of the close of the transaction we have just received an audited third quarter stand alone financial results for AmCOMP. We will not be filing a third quarter 10-Q for AmCOMP. We will file pro forma financial statements for the consolidated entity with estimated impact of purchase accounting for the nine months ended September 30, 2008. This filing will be made before year end. In addition to our discussion today of Employers third quarter nine month results, Rick will also provide a high level overview of AmCOMP’s third quarter top line and Marty will discuss integration activities. We are somewhat limited in our ability to respond completely to questions concerning AmCOMP’s third quarter given that the acquisition only closed on Friday. But we will do our best to answer those questions we can. So with that let’s turn to Employers third quarter and nine month results. Let me begin by restating the obvious. Over the past several months we have seen unprecedented volatility and turmoil in the credit, capital and insurance markets. Although we have been impacted by disorder in each of these areas, we are pleased with our performance for the quarter and through the year, particularly given the number of challenges facing the financial services industry. In terms of the credit markets we have previously announced that we have drawn under a credit facility provided by Wells Fargo to complete the acquisition of AmCOMP. Although this was not originally our intended method of financing the transaction, we were able to obtain the necessary financing on terms that we believe are attractive. In terms of capital markets our portfolio, conservative and diversified by design, has performed as expected given market conditions. We remain committed to our investment philosophy which is geared toward providing maximum returns over time within the constraints of a prudent portfolio risk. Because only 6% of our portfolio at cost was allocated to equities, the impact on our total portfolio from the decline in equity values has been somewhat muted. Our portfolio including equities and fixed maturities has minimal exposure to recently troubled sectors and our realized losses in the portfolio have been minimal. In terms of the insurance market, we have not to date observed any impacts from financial difficulties being experienced by some of our competitors. However, we continue to monitor our markets for potential negative impact and favorable opportunities that might arise. The third quarter was marked by continuing favorable prior accident year reserve development. Also having a significant impact on the quarter was a decrease in income taxes, resulting from the final reversal of liabilities for previously unrecognized tax benefits. Our third quarter results reflect reduced premium revenues, stable book value and an improved calendar year for combined ratio. With a nine month net income of $72 million and a book value of $16.50 per share at September 30, 2008 we continue to be a strong, resilient and well capitalized company. At the end of the third quarter California represented 74% of our total stand alone book of business. While this percentage will drop with our acquisition, going forward California will still represent a meaningful portion of our business. The California Worker’s Compensation Insurance Rating Bureau recommended a 16% rate increase effective for new and renewal policies as of January 1, 2009. The WCIRB recommendation is largely tied to medical inflation and to a lesser extent increasing loss adjustment expenses. California Commissioner Poizner issued an advisory ruling providing for an overall increase of 5% to be effective the first of the year. Separately, changes to the Permanent Disability Rating Schedule may be adopted in California and would likely impact the benefit levels and loss costs for injuries occurring on or after January 1, 2009. Based on our analyses of rate adequacy, last week we filed for an average rate increase of 10% in California for new and renewal policies to be effective February 1, 2009. If the proposed Permanent Disability Rating Schedule changes are adopted, we may file for an additional increase. While our net premiums in California have continued to decline, our total policy count has increased over 9% since September 30 of last year. Terms of capital management yesterday our board of directors declared a dividend of $0.06 per share with a record date of November 20 and payable on December 4. In the third quarter we repurchased approximately $7 million of our common stock and as of September 30, 2008 we have repurchased nearly 790,000 shares at a cost of $14.2 million. We closely monitor the capital and credit markets and are being appropriately prudent in evaluating all sources and uses of capital. As such we suspended our share repurchase program in September. While repurchasing common shares below book value is normally attractive, we will likely continue to conserve cash through the remainder of this year and into next year. And now I’ll turn the call over to Rick for a discussion of our financial results. Rick.
William E. Yocke: Thank you Doug and good day to everyone on the call. Despite volatile and uncertain markets we continue to be pleased with the performance of our $1.7 billion portfolio. At the end of the third quarter over 86% of the carrying value of our investment portfolio was rated double A or better. We experienced minimal other than temporary impairments or OTTI of $5.5 million for the first nine months of the year. Our commercial backed mortgages holdings represented 2.4% of the total portfolio and were all triple A rated issues. Subprime was less than 0.02 of 1% of the total portfolio. Our exposure to Fannie Mae and Freddie Mac totaled $234.1 million including $98.4 million of senior debentures, $135.7 million of mortgage backed securities and CMO’s and just $11,600 in Fannie Mae equity. We hold no subordinated debt or preferred stock in Fannie Mae or Freddie Mac. The duration on the portfolio was 5.44 indicating a higher level of short term investments. In the third quarter of this year our combined ratio was 78.8% on a GAAP basis and 85% before the LPT. Year-to-date our combined ratio was 79.6% on a GAAP basis and 85.9% before the LPT. Our combined ratios improved in the third quarter of this year and the nine months year-to-date relative to comparable periods last year, largely because development related to prior accident years was more favorable than last year. Losses in LAE ratios before LPT improved in the third quarter and the first nine months of this year. Reductions in losses in LAE were partially offset by an increase in the current accident year loss estimate from 61.7% for the first six months ended June 30, 2008 to 66.2% for the nine months ended September 30, 2008. Adjustments to loss estimates were driven by the same observations about premium adequacy which drove our rate filing that Doug mentioned earlier. Our commission expense ratio was nearly flat for the quarter and the first nine months of the year. Our third quarter underwriting and other operating expense ratio was driven higher in the quarter and the first nine months of 2008 by lower net earned premiums. Underlying expenses were generally flat in the quarter and in the first nine months were 1.7% lower than in the first nine months of the last year, evidencing our efforts to contain costs while writing more policies. Our shift to cash and short term investments impacted net investment income and average pretax book yield. Net investment income decreased $700,000 in the third quarter of 2008 and $3.5 million in the first nine months of this year. And our nine month pretax book yield dropped 10 basis points to 4.04% from 4.14% at September 30, 2007. Recall that last year we had $1.8 million in extraordinary interest income from invested proceeds related to our conversion from a mutual holding company to a public stock company. Income taxes in the third quarter and the first nine months of 2008 decreased compared to the corresponding periods in 2007, primarily due to a change of $4.8 million in the final reversal of the liability for previously unrecognized tax benefits including interest. The effective tax rate for the first nine months of 2008 was 13.4% compared with 19.3% for the same period in 2007. The decrease in the effective tax rate was primarily due to the reversal of the liability I just mentioned. At September 30, 2008 we had cash, short term investments and maturing fixed securities of $615.9 million. In September we drew down on the Wells Fargo $150 million amended secured credit facility. The facility, which expires on March 27, 2011 had an effective interest rate of 5.25% at September 30, 2008. The first $50 million principal payment is due on December 31, 2009. $100 million of the amount was hedged with an interest rate swap agreement providing that the amount will bear interest at a fixed interest rate of 4.84% through September 30, 2010, with the remaining $50 million bearing interest at LIBOR plus 125 basis points. We paid $188.4 million in cash and proceeds from the credit facility for the acquisition of AmCOMP. We will be allocating the total purchase price to tangible and identifiable intangible assets acquired and liabilities assumed based on their estimated fair values. Any excess of purchase price over the aggregate fair values will be recorded as goodwill. AmCOMP results for October 31 through December 31, 2008 will be included in our annual report on Form 10-K along with the allocation of the purchase price. And as Doug mentioned, by the end of December we will file pro forma financial statements for our combined companies through September 30, 2008. Now I’d like to provide you with some key third quarter financial data for AmCOMP. This information provided to us by AmCOMP is unaudited and subject to change. Carrying value of AmCOMP’s portfolio including cash and cash equivalents was approximately $442 million at September 30, 2008 compared with $450 million at June 30, 2008. Realized losses were approximately $200,000 for the third quarter ended September 30, 2008. AmCOMP reported to us third quarter 2008 net earned premiums of approximately $48 million compared with $48 million for the second quarter and $52 million for the first quarter of 2008. With that, I’m going to turn the discussion over to Marty.
Martin J. Welch: Thank you Rick. Employers’ net premiums written for the third quarter were $72.3 million compared with $70.4 million in the second quarter and $79.1 million in the first quarter. Top line premium continues to be a challenge due to competitive rate pressures and a now struggling economy. The states of Nevada and among our new markets, Florida, are hardest hit economically. We have not seen significant payroll reductions yet in California. Our average policy size is approximately $8,000 down from about $10,300 at September 30 of last year. And unit count is strong as we achieved a 9.3% increase in total policy count since September 30, 2007. New business activity remains strong. Through September submissions, quotes and written policies are up year-over-year. Policy retention is down slightly but remains in the mid-80% with our strategic markets business seeing consistently higher retention rates than overall. New reported claim counts are down, both for medical only and for indemnity claims. We are very pleased with the completion of our acquisition last week. Although we did substantial planning early on, the real integration started with the close of the acquisition. We have employee teams in place targeting processes, resources and savings for the combined companies in every functional area. We expect to realize a minimum of $10 million in annual pretax savings by 2010. This figure only contemplates the elimination of certain public company expenses, some overlap in IT systems and infrastructure, and reductions in the cost of reinsurance for the combined companies. While this is only the first week of the new organization, we are working to solidify and strengthen agent and producer relationships in all territories. I have just returned from meetings with key agents in each of our acquired operating regions. We are focused on introducing them to the Employers brand and on generating new business and renewal success, specifically targeting January business. There is excitement within our new regional operations and among their agents about what we can do together to build business success, particularly given A.M. Best’s recent affirmation of our A- rating post acquisition. We are awaiting regulatory approval of our pooling agreement and once that approval is received, the introduction of A- rated paper should help us reach more customers in our new states. I will now turn the call back over to Doug.
Douglas D. Dirks: Thanks Marty. That concludes our prepared remarks. Thank you for joining us this morning and Michelle I will now open up the call for questions.
Operator: Your first question comes from Mark Hughes – SunTrust Robinson Humphrey.
Mark Hughes – SunTrust Robinson Humphrey: Do you have the gross premiums written for AmCOMP for the third quarter?
Douglas D. Dirks: At this point since we’ve only received the information very recently, we’re only providing the earned premiums today. And we will be able to provide more information as we file that pro forma financial statement prior to the end of the year.
Mark Hughes – SunTrust Robinson Humphrey: The increase in current year accident ratio in the quarter between Q2 and Q3, what were the key drivers in that?
William E. Yocke: As we’ve noted numerous times as we’ve spoken to you, our process of monitoring our loss experience and our premium adequacy is ongoing. We have been looking at some information that was indicating that during the first nine months of ’08 we had seen some erosion of premium adequacy in California. And we’re reacting to that. So the adjustment that you see - and this is what you should expect from us, this is the process that we believe is important for us - any insurers to be looking at the information currently and reacting to do two things. One, to adjust the reserves appropriately and also to react by looking at rates and adjusting those appropriately and we’ve done both of those, based on the information that we’re seeing. So what you’re seeing in the third quarter is a cumulative adjustment for the first nine months of the year. Does that answer your question?
Mark Hughes – SunTrust Robinson Humphrey: It does. Is that to say the fourth quarter that the rate might – or the ratio might come down a little bit as you’re not catching up for the first nine months?
William E. Yocke: Well certainly we would not have a catch up if you will since we believe that we have appropriately adjusted as of September 30, ’08. Again every period we’re looking at the entire matter again and I guess it would be inappropriate to say that I think reserves will go up or down. But given – if everything were to remain constant, the provision rate that we expect in the fourth quarter would be similar to the nine month provision we experienced so far.
Mark Hughes – SunTrust Robinson Humphrey: You talked about the potential for the changes in the Permanent Disability Rating Schedule. Had you made an early judgment as to what that might mean in terms of your filed rates that you’re up 10% without that? How much might it be with it?
William E. Yocke: You know, I’ve seen some of this information coming out of the Bureau. I don’t think the number would, if adopted, it supposed to be as large as you describe. We would have to do the analysis to our own book of business.
Mark Hughes – SunTrust Robinson Humphrey: So off of that 10% base that you’ve already filed for, would it be a couple points? More than that?
Douglas D. Dirks: What we’re looking at – you’re referring to the rate increase which we’ve announced which – or referred to which was 10%? And so your question is would you expect that this additional adjustment might exceed that? And there’s no indication that it would be anything other than single digits as we see it at this point.
Mark Hughes – SunTrust Robinson Humphrey: And then one question on the tax rate going forward on a normalized basis say for Q4 for next year?
William E. Yocke: It would be more normalized, more in the 20% range.
Operator: Your next question comes from [Michael Manezzi] – Oppenheimer.
Michael Manezzi – Oppenheimer: Just a couple questions, one on the AmCOMP transaction if you look into the synergies that might develop from extending the ADP platform into that business?
Douglas D. Dirks: We are aware that ADP does business in many of the states that AmCOMP does business in and part of our state expansion going back again a couple of years ago was trying to expand into states that ADP was doing business in. And Florida, Texas and Illinois were three examples of those and that was a large part of the reason why we chose those three states when we did our expansion. So I think the answer to your question is yes that we do think there will be opportunity within that ADP strategic partnership across the additional states that are now part of our company.
Michael Manezzi – Oppenheimer: Just a question on expenses, you mentioned cost containment, Rick, before. Can you talk about where you’re kind of seeing that cost containment? Is it on the underwriting side? Is it just in general type of operational expenses or where specifically are you seeing that?
William E. Yocke: The cost containment is throughout the organization. Certainly like many organizations our largest expense is payroll. We have maintained a virtually flat staffing for over a year now and we’re focused on, as we go into the integration, how we can maintain that efficiency. So most of it has been in – focused on human resource, if you will, and it’s been across the organization. It hasn’t been focused on any one area to date.
Operator: Your next question comes from Matt Carletti – Fox-Pitt Kelton.
Matt Carletti – Fox-Pitt Kelton: Just a couple questions, the first one is, Doug, maybe you can elaborate on your comments regarding suspending the share repurchase. Just curious on your thoughts on capital here. Maybe I’m looking at it the wrong way but it seems that that’s still pretty low premium surplus leverage even including AmCOMP. And given the stock price could you just elaborate a little on your thought process?
Douglas D. Dirks: Sure, I’d be happy to. If you look across our capital management strategy it’s involved the three aspects that we’ve discussed all along which is being able to grow the business, being in a position to take advantage of opportunistic acquisitions and then finally managing the capital through dividends and share repurchases. And as I indicated in my prepared remarks, although it is attractive to repurchase shares at something below book value, given the volatility of the capital markets as we see them right now, we are being certain that we will be able to honor the commitments we’ve made without having to go attempt to find capital in a market that might not be able to provide it. And I think that’s just a testament to the degree of caution that we exercise as we run this business.
Matt Carletti – Fox-Pitt Kelton: Am I reading into that correctly that you’re referencing maybe the line of credit and if you do get the chance to make a longer term financing solution that then your views might change?
Douglas D. Dirks: That would be one instance under which our view could change.
Matt Carletti – Fox-Pitt Kelton: And then maybe just a follow up question, maybe this is best for Marty given that you’ve spent some time visiting with AmCOMP agents. Have you gotten any sense for what sort of impact you think bringing the A- rating to AmCOMP might have if that’s going to be a big deal or is it just too early to assess that?
Martin J. Welch: I think it’s probably a little early to assess that, Matt. It was clear that with all of them, regardless of what territory I was in, that it was important that they have A paper for their clients rather than non-rated paper. And I think it’s been clear, too, that as they’ve gone through the year with the economy the way it is, particularly with some of the pressures on construction that that lack of a rating has been more significant as the year has gone on than maybe it was at the beginning of the year or in past years. So I still expect that we will get some kind of lift from the activity level out of those agents when they have access to A paper. I don’t have any way of saying to what degree that would be. But it does give me confidence for our ability to continue to grow profitably in those new territories.
Operator: You appear to have no further questions at this time.
Douglas D. Dirks: Very good. Thank you operator. Thank you everyone for joining us today and we look forward to speaking with you again following the completion of our year. Thank you.
Operator: Ladies and gentlemen thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a great day.